Operator: Welcome to Xcel Brands' Fourth Quarter and Full Calendar Year 2020 Earnings Conference Call. [Operator Instructions] 
 Please be advised that reproduction of this call in whole or in part is not permitted without prior written authorization of Xcel Brands. And as a reminder, this conference call is being recorded.
 I would now like to turn the call over to Andrew Berger of SM Berger & Co. Thank you. Andrew, you may begin. 
Andrew Berger: Good evening, everyone, and thank you for joining us. We appreciate your participation and interest and hope that all of you are safe and well. With us on the call today are Chairman and Chief Executive Officer, Robert D'Loren; Chief Financial Officer, Jim Haran; and Executive Vice President of Business Development and Treasury, Seth Burroughs.
 By now, everyone should have access to the earnings release for the fourth quarter and year ended December 31, 2020, which went out a short while ago. And in addition, the company expects to file with the Securities and Exchange Commission its annual report on Form 10-K tomorrow morning. The release and the annual report will be available on the company's website at www.xcelbrands.com.
 This call is being webcast, and a replay will be available on the company's Investor Relations website. 
 Before we begin, please keep in mind that this call will contain forward-looking statements. All forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from certain expectations discussed here today. These risk factors are explained in detail in the company's most recent annual report filed with the SEC. Xcel does not undertake any obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise.
 In addition, the ongoing COVID-19 pandemic continues to have a significant impact on the company's business, financial condition, cash flow and results of operations. There remains significant uncertainty about the duration and extent of the impact of the virus. The dynamic nature of these circumstances means what is said on this call today could change materially at any time.
 Finally, please note that on today's call, management will refer to certain non-GAAP financial measures, such as non-GAAP net income, non-GAAP diluted earnings per share and adjusted EBITDA. Our management uses these non-GAAP metrics as measures of operating performance to assist in comparing performance from period to period on a consistent basis and to identify business trends relating to the company's results of operations. Our management believes these financial performance measurements are also useful because these measures adjust for certain costs and other events that management believes are not representative of our core business operating results. And thus, they provide supplemental information to assist investors in evaluating the company's financial results.
 These non-GAAP measures should not be considered in isolation or as alternatives to net income, earnings per share or any other measure of financial performance calculated and presented in accordance with GAAP. You may refer to the attachment to the company's earnings release or Part 2, Item 7 of the Form 10-K for a reconciliation of non-GAAP measures. 
 And now I'm pleased to introduce Robert D'Loren, Chairman and Chief Executive Officer. Bob, please go ahead. 
Robert D'Loren: Thank you, Andrew, and good evening, everyone, and thank you for joining us. I hope all of you and your families are staying safe and healthy. I will start today's call with some brief opening remarks followed by operating highlights and insights into 2021. After that, our CFO, Jim Haran, will discuss our financial results in more detail.
 I want to take this opportunity to thank our employees and business partners for their commitment throughout this past year to Xcel as we push forward into an accelerated recovery from the impact of the COVID-19 pandemic. It's exciting to get the business back on track to succeed in our new normal.
 Now before I go any further, I would be remiss in not acknowledging that the company filed its annual Form 10-K late. Unfortunately, we were delayed by the recent acquisition and closing of our new credit facility. Getting through these transactions and finalizing other audit-related matters while working remotely made it unusually challenging. That said, there is no excuse for being late. Our -- on behalf of our entire team, I apologize, and we commit to doing better in the future.
 Now I will enthusiastically and humbly turn to the rest of our presentation. At the risk of stating the obvious, 2020 was a challenging year. The magnitude of business, economic and social change we have all experienced over the last 12 months, including the acceleration of retail industry changes that were already in play before the pandemic, is nothing short of extraordinary. We are starting to see signs of reopening and recovery both in the retail industry and in the U.S. economy overall. Our omnichannel strategy and technology-enabled operating model and strong balance sheet positioned us to navigate this crisis. As a result, we believe we are well positioned to seize the opportunities that lie ahead. 
 As I mentioned in previous calls, 2020 showed tremendous potential coming into the year across all channels of distribution. Unfortunately, the COVID pandemic knocked the wind out of the proverbial sails of our wholesale and non-QVC licensing businesses. Our sales and non-QVC licensing businesses top line revenues were down $20 million and $3 million, respectively, from plan in 2020. Therefore, the net impact of COVID, that is net of the $1.8 million PPP relief we received, reduced our anticipated EBITDA by over $5 million. 
 As you know, we implemented the appropriate actions to conserve cash, reduce expenses and increase liquidity. Accordingly, while we ended the year down in EBITDA, we increased balance sheet cash slightly and further reduced our term debt by approximately $2 million by year-end. Also, we took every step possible to safeguard our employees and did this while returning key employees back to in-office work last summer. Our employees have been truly great during this crisis, and I want to thank everyone for their continued dedication to Xcel.
 So let's look at why we're optimistic for 2021. We are poised to get the entire business back on track to drive growth in '21 and beyond, and we expect momentum to accelerate beginning in Q2. Our interactive TV business is now stronger than ever before, and the acquisition of the Lori Goldstein brand in April of 2021 solidifies us as the leader in the interactive television channel of distribution. We continue to grow this channel globally with the additions of HSN in the U.S., The Shopping Channel in Canada, TVSN in Australia and QVC U.K. and Italy for our H Halston wholesale business.
 Our DTC businesses, which includes Judith Ripka and Longaberger, are doing well. In fact, Longaberger is on pace for significantly higher sales throughout 2021. In addition, our jewelry business is doing very well across all distribution channels, including e-commerce and full- and off-price wholesale, despite the impairment charge taken as a result of the pandemic, which caused us to reduce our planned store rollout. That said, we plan to open our first Judith Ripka store and livestream our first Judith Ripka show at the store opening by the first week of June. As a reminder, the business has transitioned from a license model to an operating model to give us better control over product and distribution.
 In our wholesale apparel business, we continue to proceed with caution. And we expect Q1 to be soft, Q2 showing stabilization and Q3 and Q4 showing growth. Notwithstanding this, we are well positioned for long-term growth within this channel with multiple drop ship and in-store programs currently underway. We also continued to expand our category offerings in our C. Wonder brand that is currently sold at Walmart. Our goal for 2021 is to generate over $35 million in top line sales in these wholesale and direct-to-consumer businesses, which, if achieved, we estimate would contribute significantly to our margins and operating income. 
 As I mentioned in the past, we've been disciplined with our balance sheet and have made significant investments in technology that have positioned us well for the balance of 2021 and beyond. I am excited by the opportunities our platform supports, and it is now time for us to be more opportunistic. Supporting our growth strategies, last week, we announced a transformative financing, which includes a refinancing that will provide us with additional liquidity of over $10 million, reduced loan amortization by $6 million over the term of the loan and an available acquisition line of up to $75 million subject to lender approval for opportunistic transactions that may exist in the current retail environment. We closed this new credit facility last week, and Jim will provide more details in his presentation.
 On April 1, 2021, we closed a highly accretive acquisition of the Lori Goldstein brand. Lori Goldstein supports our strategy of owning dynamic brands that can be grown by leveraging shopping, entertainment and social media. This transaction is strategically important to Xcel. It increases our market share in the interactive television channel significantly and grow retail sales of our brands by over 33% in interactive television. Our team did a fantastic job structuring and closing this transaction. On a net present value basis, we acquired the Lori Goldstein brand for a multiple of less than 2x royalties or 3.5x annual EBITDA. 
 We have the potential to recoup our initial $3.6 million cash investment by the end of this year. And it is important to note that there was no dilution to shareholders, and we did not incur any term debt obligations in connection with this transaction. The integration of this brand is fairly simple, given that it is a licensing business and is a straightforward plug-in to our existing licensing platform. We also believe that there is significant upside in this business, which includes increasing market share in ITV, leveraging the brand for new DTC and livestreaming businesses and growing the brand internationally and in other channels of distribution.
 As I have mentioned in the past, the pandemic has proven that QVC's business model is sustainable, and the pandemic has accelerated the adoption of livestreaming as a channel of distribution that may increase dramatically as a percentage of e-commerce sales in the coming years. For example, livestreaming has grown by 3 billion -- from $3 billion in 2017 to an expected $305 billion in 2021 in China, according to Coresite Research. And they estimate that livestreaming is expected to grow by $25 billion over the next 2 years in the U.S. alone. We launched livestreaming events with Longaberger and plan to launch Judith Ripka live in June in connection with the opening of our new flagship store. We will continue to roll out livestreaming across all brands. 
 Results with Longaberger have been very strong. We are generating high sales per minute in our livestreaming events compared to interactive TV, with conversion rates exceeding 21%. Xcel is uniquely positioned to succeed with this new technology, given our deep knowledge of global retail sales via livestreaming. In fact, we believe that we are one of the most experienced U.S.-based companies heading into this new channel of retail distribution.
 So to recap, we are excited by the opportunities we have for growth across our brands and retail channels. Our interactive television business will continue to drive strong operating cash flows, which we are reinvesting in opportunities to enhance our growth and increase the scale of our business. We entered the COVID pandemic with a technology-enabled consumer products platform and recently expanded our access to capital to fund potential acquisition opportunities, accelerate growth and to take advantage of the massive disruption underway within the consumer products industry.
 While we anticipate the challenging retail landscape will continue in the first and second quarters, we believe as the COVID crisis ends, the second half of the year will demonstrate strong growth for Xcel Brands. Management, the Board and our employees are all significant shareholders, and we are working hard to create significant value for all of our investors. I am excited by the direction we are headed and look forward to updating investors on the progress we are making throughout 2021. 
 As always, I thank all of you for your support. Now I would like to turn the call over to Jim to discuss financial results for the fourth quarter and full fiscal year ended December 31, 2020. 
James Haran: Thanks, Bob, and good evening, everyone. I will briefly discuss financial results for the quarter and year ended December 31, 2020. Please note that our financial results are described more fully in our annual report on Form 10-K, which we expect to be filed with the SEC by April 22.
 Total revenue for the fourth quarter of 2020 was $7.5 million, a net decrease of approximately $3.9 million or 34% from the prior year quarter. This decrease in revenue was most pronounced in wholesale product sales, which were down $3.4 million year-over-year due to reduced orders from our customers caused by the pandemic. The contributing factors were canceled orders driven by mandated store closings and stay-at-home orders nationwide. On a positive note, fourth quarter net product sales increased by approximately 20% from the third quarter, driven by the continued growth of our direct-to-consumer e-commerce business. 
 Licensing revenues declined approximately $0.5 million from the prior year quarter, primarily due to the economic impact of COVID-19 on our licensees. The impact in lower top line revenues resulted in a decrease in the current quarter's gross profit of $1.6 million compared with the prior year quarter. 
 Despite these revenue declines, gross profit margin from product sales increased from 38% in the prior year quarter to 41% in the current quarter. Our decision to move away from certain licensing arrangements to wholesale and direct-to-consumer model gives us greater control of the product and the long-term benefit that we expect from increased revenues through volume and margin growth.
 Our operating expenses were $20.4 million for the current quarter, representing a $5 million increase from $14.6 million in the prior year quarter. This increase was primarily due to a $13 million noncash impairment charge recorded in the current quarter related to the Ripka brand trademarks compared with a similar $6.2 million noncash impairment charge recorded in the prior year. 
 The current period impairment charge was driven by delays and uncertainty in implementing the bricks-and-mortar retail store strategy for a portion of the brand, primarily as a result of the COVID-19 pandemic. The impairment charge in 2019 was driven by the timing of the transition of the Ripka brand from a licensing model to a wholesale and direct-to-consumer model. Also contributing to the increase in operating expenses was $0.5 million increase in depreciation and amortization expense.
 Net loss attributable to Xcel Brands was approximately $10.4 million for the current quarter or minus $0.54 per basic and diluted share compared with a net loss of $5.3 million or minus $0.28 per basic and diluted share for the prior year quarter. 
 After adjusting for certain cash and noncash items, non-GAAP net loss for the current quarter was approximately $0.3 million or minus $0.02 per share compared with non-GAAP net earnings of approximately $0.9 million or $0.05 per share in the prior year quarter. Adjusted EBITDA for the current quarter was approximately $0.2 million compared with $1.5 million for the prior year quarter. The decrease in top line sales and gross profit of $1.6 million was a contributing factor in the decrease in adjusted EBITDA. 
 As a reminder, non-GAAP net income, non-GAAP diluted EPS and adjusted EBITDA are non-GAAP unaudited terms. Our earnings press release presents a reconciliation of these items with the most directly comparable GAAP measures.
 Moving to our full year results. For 2020, total revenue decreased approximately $12.3 million or 29% from the prior year, with the decline roughly evenly split between our licensing business and our wholesale business. Net licensing revenue decreased $6.2 million or 23% from the prior year due to a combination of the impacts of COVID-19 and a reduction in guaranteed minimum royalties as a result of transitioning our H Halston brand to a wholesale supply model with Qurate Retail Group and other ITV networks. 
 Wholesales for the year were down $7.1 million or 48% from the prior year as the impact of government-ordered store closures affected most of our wholesale customers. This decline was primarily offset by a $1.1 million increase in our direct-to-consumer e-commerce businesses. Despite these revenue declines, gross margin from product sales during the current year was 41% as compared with 33% in the prior year.
 Our operating expenses were $40.4 million for the current year, representing a $3.5 million increase from $36.9 million in the prior year. This increase was primarily due to the previously mentioned $13 million noncash impairment charge recorded in the current year compared with a similar $6.2 million noncash impairment charge recorded in the prior year. Also contributing to the increase was $1.6 million increase in depreciation and amortization expense and a $1 million of bad debt expense recognized in the current year related to the bankruptcy of several retail customers due to the COVID-19 pandemic, notably from Lord & Taylor, Le Tote, Stein Mart, Century 21. 
 These increases in operating cost and expenses were partially offset by various cost reduction actions taken by management during the current year in response to the COVID-19 pandemic, including temporary reductions of employee compensation from April to December, cutting nonessential costs and as well as government assistance received through the Paycheck Protection Program under the CARES Act, for which the company recognized $1.8 million as a reduction to current year operating expenses. Additionally, there were $1.3 million of costs incurred in the prior year in connection with a potential acquisition, which ultimately was not consummated. And approximately $0.2 million of these costs were recovered or reimbursed in the current year.
 Interest and finance expense for the year was $1.2 million compared with $1.5 million in the prior year. The decrease is primarily attributable to the fact that the prior year period included a $0.2 million loss on extinguishment of debt as a result of the February 2019 term loan amendment.
 Net loss attributable to Xcel Brands was approximately $12.9 million for 2020 or minus $0.68 per basic and diluted share compared with a net loss of $3.4 million or minus $0.18 per basic and diluted share for 2019. Net loss for the prior year notably included $2.9 million of other income related to a gain on the reduction of contingent obligations from the acquisition of the C. Wonder brand.
 After adjusting for certain cash and noncash items, non-GAAP net income for the current year was approximately $1.8 million, and non-GAAP earnings per share was $0.10 per diluted share compared with approximately $4.8 million or $0.25 per diluted share in 2019. Adjusted EBITDA was approximately $4.1 million for the current year, which is approximately 42% lower than the adjusted EBITDA of approximately $7.1 million for the same period in 2019.
 Turning now to our cash position. As of December 31, 2020, the company had unrestricted cash and cash equivalents of approximately $5 million compared with cash of approximately $4.6 million at December 31, 2019. This net increase during the year was primarily attributable to cash provided by operating results, which includes cash conservation and cost control measures implemented by management and government assistance received through the Paycheck Protection Program. The cash provided by operating activities was largely offset by $2.3 million of principal payments made in our term debt and investments to finalize the implementation of our ERP and PLM systems.
 Looking at our debt obligations. At December 31, 2020, our total bank debt was $16.8 million, and term debt net of cash was approximately $11.8 million with a net-to-EBITDA ratio at 2.9x. Our working capital at December 31, 2020, excluding the current portion of lease obligations, was approximately $7.9 million compared with $9.5 million at December 31, 2019. 
 As mentioned on previous calls, in April of 2020, we received $1.8 million through the Paycheck Protection Program under the CARES Act. Based on the requirements and conditions under the CARES Act and the Paycheck Protection Program Flexibility Act, we expect that the entire amount of the loan will be forgiven and accordingly, have treated the proceeds of the loan similar to a grant.
 As Bob previously mentioned, we acquired the LOGO Lori Goldstein brand and refinanced our term debt last week. I would like to provide some color on these transactions. The LOGO Lori Goldstein brand acquisition provides the company with another strong interactive television brand and increase our market share significantly in this channel of distribution. The purchase of the brand included a $1.6 million payment at closing and a $2 million payment by August 1, 2021. We expect to recover these payments from cash flow generated from the brand by the year-end. The balance of the purchase consideration shall be paid from cash flow generated by the brand over the next 5 years, provided the brand generates certain cash flow hurdles. 
 The purchase price consideration is approximately 2x the expected annual royalties. And shortly after we acquired the brand, we refinanced the company's existing term debt, securing $25 million of new term debt and adding a working capital line of up to $4 million. In addition, the facility provides up to an additional $75 million in incremental term debt that will be utilized for acquisitions, subject to our lenders' approval. The current $25 million term debt weighted average interest rate is approximately 7%, which is roughly 1% increase over the current term debt. Although the cost of funds is higher, it provides for reduced principal payments throughout the term of $6 million. This will provide the company the opportunity to accumulate cash and increase working capital. 
 As I mentioned earlier, the December 31, 2020, net debt leverage was approximately 2.9x. With our new debt facility, we anticipate net debt leverage to be well below this by the end of this year. In addition to the term debt, the facility provides for working capital line of up to $4 million. This will provide additional liquidity for our wholesale and our e-commerce businesses. With the early success of livestreaming events and adding new wholesale accounts, including drop ship programs, the working capital line will be a valuable resource that may grow over time as needed to fuel growth of the company.
 And with that, I would like to call -- I would like to turn the call back over to Bob. Bob? 
Robert D'Loren: Thank you, Jim. Ladies and gentlemen, this concludes our prepared remarks. Operator? 
Operator: [Operator Instructions] There appears to be no questions at this time. I will now turn the call back over to Mr. D'Loren for closing remarks. 
Robert D'Loren: Thank you, Hilary. Ladies and gentlemen, thank you for your time this evening. We greatly appreciate your continued interest and support in Xcel Brands. As always, stay fit, eat well and be healthy. 
Operator: Ladies and gentlemen, that does conclude our conference call for today. You may all disconnect, and thank you for participating.